Operator: Good day, ladies and gentlemen. Welcome to the Fresh Del Monte Produce's Fourth Quarter and Full-Year 2014 Financial Results Conference Call. At this time all participants are in a listen-only mode. But later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to turn the call over to the first speaker for today, Christine Cannella, Assistant Vice President of Investor Relations. Ma’am, you have the floor.
Christine Cannella: Thank you, Andrew, good morning everyone. And welcome to Fresh Del Monte's fourth quarter and full 2014 conference call. Joining me today are Mohammad Abu-Ghazaleh, Chairman and Chief Executive Officer; and Richard Contreras, Senior Vice President and Chief Financial Officer. This call complements our fourth quarter and full year 2014 press release, we made public this morning and you can find that release or register for future distributions by visiting our website at www.freshdelmonte.com and clicking on Investor Relations. This conference call is being webcast and will be available for replay approximately two hours after conclusion of this call. Our press release includes reconsolidations of any non-GAAP financial measure that we mention today to their corresponding GAAP measures. Before we start please remember that matters discussed on today’s call may include forward-looking statements within the provisions of the Federal Securities Safe Harbor laws. Forward-looking statements involve risks and uncertainties, which are more fully described in today's press release and our SEC filings. These risk factors may cause actual company results to differ materially. This call is a property of Fresh Del Monte Produce. Redistribution, retransmission or rebroadcast of this call in any form without our written consent is strictly prohibited. Let me now turn this call over to Mohammad.
Mohammad Abu-Ghazaleh: Thank you, Christine, and good morning, everyone. We continued to achieve strong results in the fourth quarter of 2014, capping a year of operational and financial growth for the Fresh Del Monte Produce. We finished 2014 with a 7% increase in net sales on a year-over-year basis with all of our business segments and regions contributing. We grew our earnings per share to $2.74 and we continued our disciplined approach to creating efficiencies and reducing cost throughout our business. In addition, we made progress towards our strategic initiative allowing us to finish the year in a very competitive position. As we begin 2015, we remain focus on our initiatives. We are confident the momentum we have built during the past year along with the experience we have in the industry will budge us as we continue to seek out and touch the lines on opportunities to grow our business. Drive profitability and increase the healthy convenient products, we deliver daily to consumers worldwide. At this time, I will turn the call over to Richard.
Richard Contreras: Thanks, Mohammad, and good morning. For the year 2014 excluding adjustments on a comparable basis, we’ve reported earnings per diluted of $2.74 compared with earnings per diluted share of $1.57 in 2013. Net sales increased $244 million or 75 to $3.9 billion compared with $3.7 billion in the prior year. Gross profit increased to $365 million compared to $292 million in 2013. Operating income for the year $185 million compared with a $110 million in the prior year and net income was $154 million compared with $89 million in 2013. For the fourth quarter of 2014, excluding adjustments on a comparable basis, we’ve reported earnings per diluted share of $0.20 compared with a net loss per share of $0.29 in the fourth quarter of 2013. Net sales were $929 million compared with $880 million in the prior year, an increase of 6%. Gross profit increased to $63 million compared with gross profit $34 million last year. Operating income for the fourth quarter was $15 million compared with an operating loss of $14 million in the prior year period. And net income was $11 million compared with a net loss of $16 million in the fourth quarter of 2014. Now as I turn to our segments, I will only fourth quarter statistics as reported. In our banana business segment, net sales increased $12 million to $439 compared with $427 million in the fourth quarter of 2013, primarily a result of higher sales volume. Overall, volume was 2% higher than last year’s fourth quarter. Worldwide pricing increased $0.06 per box to $13.76. Total worldwide banana unit cost decreased 2% primarily driven by lower ocean freight costs. And gross profit increased $10 million to $6 million compared with a loss $4 million in the fourth quarter of last year. In our other fresh produce business segment for the fourth quarter, net sales increased $41 million to $401 million compared with $360 million in the prior year period. Gross profit increased to $49 million compared with $31 million in the fourth quarter of 2015. In our gold pineapple category, net sales were $142 million compared with $140 million in the prior year, driven by higher sales volume in the Middle East and higher pricing in North America. Overall volume decreased 7%, unit pricing was 8% higher and unit cost was 6% lower. In our fresh-cut category, net sales 3% to $90 million compared with $87 million in the prior year, driven by the increased number of new customers and channels in North America, the Middle East and Asia. Overall volume was in lined with the prior year period. Unit pricing increased 2% and unit cost was 5% higher in the prior year. In our melon category, net sales increase 41% to $27 million compared with $19 million in the fourth quarter of 2013. Volume increased 14% the result favorable growing conditions in Guatemala, unit pricing was 24% higher to the lower industry volume and unit cost was 8% lower. In our non-tropical category, net sales increased 19% to $74 million compared with $62 million in the fourth quarter of 2013. The increase of sales was primarily attributable to higher sales in our avocado, stone fruit and citrus product lines. Volume increased 7%, unit pricing increased 12% and unit cost was 6% higher than the prior year. In our tomato category, net sales increased 81% to $33 million compared with $18 million in the prior year, driven by higher sales volume. Volume increased 94%, the result of our first full growing season at our tomato operation in Florida, pricing was 7% lower and unit cost was 11% higher. In our prepared food segment, net sales decrease 4% to $89 million compared with $93 million in the prior year, while gross profit was almost a million dollars higher than the prior year. Now to summarize cost for the four quarter, banana fruit costs which includes our own production and procurement from growers increased 1% worldwide and represented 33% of our total cost of sales for the fourth quarter. Carton cost decreased 3% and represented 4% of our total cost of sales. Bunker fuel cost decreased 15% and represented 4% of our total cost of sales. And total ocean freight cost during the quarter which includes bunker fuel, third party charters and fleet operating cost was 10% lower. For the quarter, ocean freight represented 11% of our total cost of sales. The foreign current impact at the sales level for the four quarter was unfavorable by $7 million. And at the gross profit level, the impact was favorable by $3 million. Other expense net for the quarter was $5 million compared with other expense net of $2 million in the fourth quarter of 2013. As for our stock repurchase plan during the fourth quarter, we repurchased approximately 3.49 million for approximately $103.7 dollars. Total debt at the end of the quarter was $267 million. Income tax expense was $1 million here in the quarter compared with income tax expense of 100,000 in the prior year period. And as it relates to capital spending, we spend a $149 million on capital expenditures. In 2014, we expect to spend approximately $200 million in 2015. That concludes our financial review. Operator, we can now turn the call over for Q&A.
Operator: [Operator Instructions] And I just got a question from the line of Jonathan Feeney from Athlos Research. Your line is open.
Jonathan Feeney: Good morning. Thanks very much for the time.
Mohammad Abu-Ghazaleh: Thank you, Jonathan for being with us.
Jonathan Feeney: Great quarter, so I guess looking at - coming into this quarter, I have to say you with a little surprise, I mean if I walked one on in the world, you cut your supply introductions maybe some concern on the Middle East, you have currency headwinds, I mean I guess if you could - just focus on those two, the sort of any disrupt - potential disruption in the Middle East and your currently exposure, I would think vulnerable for those would have been an impact on that corner, it doesn’t seem like they were. Could you kind of give me an update on that?
Mohammad Abu-Ghazaleh: But actually there were disruption and I mean the least of course from markets or internally [ph], but we still been able to supply that in a consistent way. We had other issues where we have other supply during the early part of the quarter which affected our prices. The results could have been a lot better have not been oversupply in the beginning of the quarter. But - if you look at the general picture, I think our business has, I mean we have some cure that we know exactly where to allocate the volumes were we have so much diversified in our product lines and so much new customers in different parts of the world which really takes off - you know take off the risks of the perishable business as we always knew it. So I think the major part of why you see a very good quarter in terms of compared to last year, we could have done a better quarter as a matter of fact. But it’s because of all of work and focus during the last few years on diversification and introducing new products and getting into new areas around the world.
Jonathan Feeney: Can you give me a rough sense of how much, what percent of sales and profitability listed now?
Mohammad Abu-Ghazaleh: Richard?
Richard Contreras: I can. For the year - please give one second, Jon. About 15%.
Jonathan Feeney: Sales and profit you said.
Richard Contreras: Of sales.
Jonathan Feeney: Of sales. Can you give me a sense what that, is a profit, is it a profitable for index.
Richard Contreras: We don’t disclose the profit by region, yeah I am sorry.
Jonathan Feeney: Okay. Thanks guys [ph] for trying.
Richard Contreras: It is profitable business.
Jonathan Feeney: Okay.
Mohammad Abu-Ghazaleh: It’s not - the least you know we have expanded in many countries, in Europe, in Asia so the Middle East as well as North America you know we have increased our business significantly in North America in the fruit through new customers even new channels. And so its spread actually across the both, it’s not in one region as such.
Jonathan Feeney: Sure. For sure now that the pineapple business clearly gave you some strong results and if you are feeling that and it’s probably others are as well, just going to lead to like what’s you outlook for that your profit over the course of 2015, it shouldn’t be the kind of conditions where there will be more supply or more aggressive pricing coming out.
Mohammad Abu-Ghazaleh: No, I think as the consistent business, over the years, we have seen the pineapple begin the major market share that you know I mean as first month and we keep that going forward. So and we are expanding our production in Costa Rica and other parts of the world. So we’ve considered that this would be consistent going forward.
Jonathan Feeney: Now when you look at - something I noticed is as few days, if you look at particularly strong results here, there is now fail on is management level failing, I know you still pertained in may huge taken the company but is this point of like a multiyear program or can you comment on your particularly given the coincidence with the company buying back stock, was it for that reason now is a good time for some managers have had stock for a while so where it go. I just kind of want to understand maybe what’s behind that and if or if it’s random?
Mohammad Abu-Ghazaleh: As you speak, before myself I have [indiscernible] being there for some time. And most of this stock auction that I sold during the last several months. Actually are expiring in a couple of months. So either I had to sell them or to just for feed them, so. Nothing really out of ordinary here, I mean most of the employees have also probably more or less have been in the same situation. So it’s just a normal way I guess, nothing out of the ordinary here.
Richard Contreras: Our all other sales you’ve seen Jonathan are result of 10b5 plans. We have a window period that was not open. So of the sales you’ve seen, may employees are previously entered into 10b5 plan.
Jonathan Feeney: That’s helpful. Thank you very much. And looking at, I mean you take about the diversification Mohammad being the region for the part - this quarter I mean, does that mean looking forward, I mean these were much - I mean these were much better number than I would expect. Do you feel that kind of momentum is continuing into 2015?
Mohammad Abu-Ghazaleh: Yes, I mean as you see, total expenditure was almost 150 million in 2014 and we expect another 200 million in 2015. And that gives you an idea what we are doing, I mean that money is going into FX which are proactive FX I mean be as an agriculture, be in agro industry and so on. So all this really I mean - we would see a bit of year or two from now but we are spending a lot of money into new projects and new better education [ph] program.
Jonathan Feeney: Do you - I mean - I guess last question for Richard and maybe I’ll take a follow-up on, ask specifically before but you’ve got some three country that are significant to you, the ruble again on the euro, was there an impact on the quarter from the depreciation of any those three and do you expect that to be interact to 2015? And as part of that do you hedge, I’ve never seen that you are hedging that exposure but I mean are you hedging that exposure now?
Mohammad Abu-Ghazaleh: In the euro, yes, we do hedge that. We’ve always hedge that…
Jonathan Feeney: The ruble on the yen.
Mohammad Abu-Ghazaleh: The yen, we do, the ruble we do not, it’s a small, relatively small business, very small for us, it’s in its rampancy, I mean we are there, we just recently started there. On the - and you did see an impact in the quarter because if you look at that almost $5 million other expense below gross profit, that’s almost all FX loss.
Jonathan Feeney: I see, okay. And you show up, it was like - is that going to be major headwinds in 2015 from you are hedged right now?
Richard Contreras: And by the way, Jon, you know some of those market when we are selling bananas, we do sell in dollars. So we’re not…
Jonathan Feeney: I see.
Richard Contreras: Yes. I am sorry what was your last question?
Jonathan Feeney: Would you expected to be from where you are right now, where you project right now, would you expect just those two particularly, I know there were able to be a headwind, the yen anyway to be a significant headwind in 2015?
Richard Contreras: Yes, the yen and euro could be headwinds in 2015.
Jonathan Feeney: Got you. Okay, well thanks very much for your time.
Mohammad Abu-Ghazaleh: Thank you.
Richard Contreras: Thanks.
Operator: [Operator Instructions] And it looks all the questions for today, so I’d like to turn the call back over to the speakers for closing remarks.
Mohammad Abu-Ghazaleh: Thank you very much and we appreciate your presence on this call and hope to speak to you on our next call. Thank you very much. Have a good day. Bye.
Operator: Ladies and gentlemen, thank you again for your participation in today’s conference. This now concludes the program and you may all disconnect your telephone lines. Everyone have a great day.